Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Steelcase Second Quarter Fiscal 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. O'Meara, you may begin your conference.
Mike O'Meara: Thank you, Rob. Good morning, everyone. Thank you for joining us for the recap of our second quarter fiscal 2025 financial results. Here with me today are Sara Armbruster, our President and Chief Executive Officer; and Dave Sylvester, our Senior Vice President and Chief Financial Officer. Our Q2 earnings release, which crossed the wires yesterday, is accessible on our website. This conference call is being webcast, and this webcast is a copyrighted production of Steelcase Inc. A replay of this webcast will be posted to ir.steelcase.com later today. Our discussion today may include references to non-GAAP financial measures and forward-looking statements. Reconciliations to the most comparable GAAP measures and details regarding the risks associated with the use of forward-looking statements are included in our earnings release, and we are incorporating by reference into this conference call the text of our Safe Harbor statement included in the release. Following our prepared remarks, we will respond to questions from investors and analysts. I'll now turn the call over to our President and Chief Executive Officer, Sara Armbruster.
Sara Armbruster: Thanks, Mike, and hi, everyone, and thanks for joining our call today. I'd like to offer a few remarks explaining how we continue to make progress against our strategy, and I'll cover some of the highlights of our Q2 results. As a reminder, our strategy has four pillars. First to lead the transformation of the workplace. Second to diversify the customer and market segments we serve. Third is to improve our profitability. And fourth to use our business as a force for good. So let me begin with transformation. At Steelcase, we're deeply driven to understand the changing realities of work that our customers face. And through human centered design research and critical thinking, we uncover insights that lead us to innovation and breakthrough design. As you know, we are constantly monitoring and evaluating how companies approach their work through both Steelcase led research and analysis from top research firms. For example, Gallup tracks the percentages of exclusively remote, hybrid, and on-site employees. And for eight consecutive quarters, Gallup's data has shown that among U.S. employees and jobs that can be done remotely, more than half are working in a hybrid capacity and their research highlights that hybrid is what the majority of employees prefer. Many organizations have not evolved their physical spaces to address this new reality. These offices still have pre-pandemic designs that don't accommodate hybrid working practices. And some companies who reduce their footprints are finding they may have gone too far and are now evaluating how to add back space in certain areas. And we also see a really a growing number of companies that are mandating a minimum number of days for in office presence. So, organizations, I think realize that taking a new approach helps employees feel more connected to the Company's purpose, its culture and to each other, and Steelcase is a leader helping to solve these big challenges. Our leadership is demonstrated by our strong win rate and our continued market share gains in the Americas over the past year. This quarter I've met several customers who are looking to transform their workplaces to increase employee engagement and productivity to help meet their business objectives. For example, one of our largest customers was focused on reinventing their meeting space experience to reflect hybrid working patterns and they were expanding their workstation applications to enable higher levels of privacy. Our Ocular sightline tables and our Campers & Den solutions supported that customer's vision, and I'm excited about the opportunities like this that we see across many market segments where organizations are transforming their workplaces and they find their needs met by Steelcase. And as our sales teams continue to work closely with our largest customers, we are confident we will see higher levels of orders in the back half of this year. Moving now to diversification, through the first half of the year, all our customer segments in the Americas have posted year-over-year order growth. In our second quarter, the education segment led this growth with a very strong quarter from our Smith System business, which grew 18% year-over-year. Smith System supports K-12 customers in the U.S. and we see strong growth potential in part due to the number of school districts issuing bonds for new construction or modernization. We recently supported a school district upgraded eight elementary schools where the previous furniture was up to 30 years old. When that district approached us for ideas on collaboration and cost effectiveness, they chose our best-in-class solutions based on the quality of our furniture and our quick and seamless operational support, including our dealers delivering and installation. So, in the end, we expect to impact the lives of more than 5,000 kids in that district when they walk into brand new classrooms. And while this is just one example, it represents broader opportunity in the K-12 segment. And in addition to education, we're making progress across all of our diversification efforts, including healthcare, small- and medium-sized businesses, and consumers. Turning to profitability, our second quarter results reflect strong earnings growth and 2% organic revenue growth. Our adjusted earnings per share of 0.39 was an increase of 26% versus last year, and for the ninth consecutive quarter. We've driven year-over-year gross margin improvement. Our operations leaders continue to drive cost reduction initiatives, which contributed to our growth margin improvement this quarter. These operations initiatives included moving production lines to increase efficiency and closing a distribution center to optimize our network. More broadly, our employees continue to find efficiencies in managing our spending and to improve profitability. And these profit improvement efforts are helping enable our investments to support our growth initiatives. As we look at our segment performance, the America's delivered $13 million of adjusted operating income improvement over the prior year and drove 3% organic revenue growth. Our international segment adjusted operating results improved by $2.4 million versus the prior year due to our efforts to reduce our cost structure and to enhance our competitiveness in response to a soft demand environment. Finally, as we think about our efforts to use our business as a force for good and design better futures for people on the planet, I'm excited to share that we published our annual impact report this week. The report shares goals and recent progress in building a stronger sense of community and belonging in the workplace. We are committed to helping communities thrive, fostering inclusion, and acting with integrity. One highlight I'll mention from the report is that our employees have volunteered more than 62,000 hours since 2021 toward our goal of 100,000 hours by 2030. Steelcase is also working toward a better future for the planet by reducing its carbon footprint, designing for circularity, and choosing and using materials responsibly. So, we continue to pilot new ways to package, ship, and deliver products, and we lead the industry in the number of BIFMA Level-certified products. We now use 40% recycled content on average in all Steelcase brand product packaging. So, congratulations to all the employees who have helped Steelcase make meaningful progress toward our people and planet goals as outlined in this year's impact report. So, I'll close by sharing that our results through the first half of the year are strong, and we remain positive about the progress we continue to make against our strategy to lead the transformation of the workplace, diversify the customer and market segments we serve, improve our profitability, and use our business as a force for good. So, I'll now turn it over to Dave to review the financial results and our outlook.
Dave Sylvester: Thank you, Sara, and good morning, everyone. Before I get into the financial details, I would like to first acknowledge Budd Bugatch and his unexpected passing in August. Budd worked closely with our industry and Steelcase since becoming a public company 26 years ago, and we benefited from his involvement. His impact on our industry, his advocacy for Steelcase, and his friendship will be missed. Rest in peace, Budd. The balance of my comments today will start with the highlights related to our Q2 results, balance sheet and cash flow. I will then share a few remarks about our outlook for the Q3 and some thoughts about the full fiscal year. Our Q2 results finished largely as we expected with our adjusted earnings of $0.39 per share, slightly above the midpoint of the estimated range we provided in June, and our revenue of $856 million slightly below the midpoint of our range. Both of our segments performed largely as expected. During the quarter, we completed the sale of approximately 315 acres of unused land for $44 million, which originated from an unsolicited offer and represented the majority of our unused land. The resulting gain net of related variable compensation expense was excluded from the calculation of adjusted operating income, adjusted earnings per share and adjusted EBITDA. And we have adjusted the non-GAAP measures in the prior periods presented for consistency. Compared to the prior year, our adjusted operating income was $15 million higher, largely driven by the Americas, which posted 3% organic revenue growth and improved gross margins. The revenue growth was driven by strength from our education business and volume growth from our large corporate customers and government segment. The higher gross margins were driven by favorable business mix and benefits from our operational performance and cost reduction initiatives. The International segment improved Q2 adjusted operating results by $2.4 million compared to the prior year, driven by benefits from the restructuring actions we implemented last year as well as ongoing cost control measures as the demand environment remains soft. Sequentially, as compared to the Q1, adjusted operating income increased by $40 million driven by a $129 million increase in revenue. And the sequential increase in revenue was driven by normal business seasonality in the Americas, which includes Smith System and other education projects that tend to ship during the summer months. As it relates to cash flow in the balance sheet, cash and short-term investments increased $127 million from Q1, driven primarily by $90 million of adjusted EBITDA and the proceeds from the land sale. Our trailing four quarter adjusted EBITDA is $285 million or 9.1% of revenue, which is 150 basis points higher than the same time frame last year. Our liquidity aggregated to $507 million at the end of the quarter, which exceeded our total debt of $447 million. We repurchased approximately 200,000 shares in the second quarter or approximately 1.7 million shares over the first half of the fiscal year. When aggregated with our quarterly dividend of $0.10 per share, we've returned approximately $45 million to shareholders in the first six months of fiscal 2025. Orders in the quarter were down modestly compared to the prior year with 3% growth in the Americas and an 11% decline in international. Q2 marks the fourth consecutive quarter of year-over-year order growth in the Americas. The order growth in the Americas was led by our government, education and healthcare customer vertical markets offset in part by a decline in orders from our large corporate customers after several quarters in a row of strong year-over-year growth. Our project business grew in Q2, while our continuing business or day-to-day orders declined. We believe the growth in our project business is reflective of how we are leading the transformation of the workplace, as evidenced by our strong win rates and estimated market share gains over the last year in the Americas. We expect year-over-year order growth from our largest customers to return in the back half of fiscal 2025. The order decline in international was driven by declines in most of our major markets, with the exception of India, where we continue to see strong growth. Turning to the outlook for the third quarter, our overall backlog is approximately flat compared to the prior year and contained a higher percentage of orders expected to ship within 90 days compared to the prior year. We expect to report revenue within a range of $785 million to $810 million, which would reflect 1% to 5% organic growth compared to the prior year. As it relates to earnings, we expect to report adjusted earnings of between $0.21 and $0.25 per share, which compares to $0.29 in the prior year, which included approximately $0.09 of estimated benefits related to the reversal of an accrued earnout liability and gains from the sale of fixed assets. In addition to the projected range of revenue, the adjusted earnings estimate includes gross margin of approximately 32.5% to 33.0% and operating expenses of between $225 million to $230 million, which includes $4.3 million of amortization related to purchase intangible assets. Lastly, we expect interest expense and other non-operating items to net to approximately $2 million of expense, and we're projecting an effective tax rate of approximately 27%. We continue to have confidence of potentially achieving the higher end of the range of our fiscal 2025 adjusted earnings per share targets that we communicated in March. However, it's important to note a few factors which could impact how our results play out in the second half of the year, including the timing of project orders and requested delivery dates related to high confidence opportunities with our largest corporate customers in the Americas could play out differently than projected. And secondly, we anticipate going live on our new ERP system at the start of next fiscal year, and managing through the cutover could have the effect of our customers and dealers requesting shipments earlier in advance of the cutover, pulling business from Q1 of next year into Q4 or requesting shipments after the cutover pushing business from Q4 into Q1 of next year. In summary, we feel good about our financial results through the first half of the year as well as our outlook for the Q3. And as Sara said, we believe our strategy is working, and we're continuing to make progress on our most important initiatives. From there, we'll turn it back to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Greg Burns from Sidoti. Your line is open.
Greg Burns: Could you just talk about a little bit more about your commentary around corporate orders picking up in the second half, maybe what are you seeing in terms of maybe some of your pipeline metrics that gives you confidence in that outlook?
Dave Sylvester: Yes. I mean, Greg, when we look at what happened in the Q2, it's really related to our largest corporate customers. And we manage them with a sales team that's really wired towards serving these accounts globally. And when we talk to the leadership of that group as well as the leadership in the Americas, what they're feeling is quite confident about the balance of the year and their pipeline. What didn't play out in the quarter was that the orders that we were expecting to come in, came in on schedule. So, we're they're still quite confident in the pipeline for those customers. They just think the timing is pushed out a little bit toward the back half of the year.
Greg Burns: And then, in terms of OpEx for the quarter came in pretty significantly lower than I guess you were guiding for going in. Could you just talk about maybe what drove that? And are those the permanent cuts that you're making or maybe temporary variable cuts that might come back in?
Dave Sylvester: I think if you take OpEx and you add back the gain net of the variable compensation, you'd see that our OpEx was pretty close pretty closely in line. So, make sure you're adding back the net gain, which is shown in the back of our release in our reconciliation of GAAP to non-GAAP.
Greg Burns: Okay. I'll do that. Thank you.
Operator: Your next question comes from the line of Steven Ramsey from Thompson Research Group. Your line is open.
Steven Ramsey: Good to see the continued solid margin improvement in the business again. Wanted to think about the FY'25 range and maybe even beyond that for your midterm targets. How much flexibility do you have to land in these ranges based on your cost and efficiency moves versus solely just orders and volumes coming through?
Dave Sylvester: I would say it's balanced between the two. I mean, we have some work yet to complete to drive additional margin improvements. We've also got the readiness for the ERP cutover that will play out. But a big driver is the timing of the orders related to these large corporate customers. That's probably the biggest variable and how we'll finish the fiscal year.
Steven Ramsey: Okay. That's helpful. And then just thinking about win rates being strong share gains in Americas, does this point to incrementally rising win rates? Or would you describe it more as steady, maybe just to put the two in context, so we're thinking about your success there correctly?
Dave Sylvester: Well, they're pretty high. I mean, I don't know that I have win rates that go back in time to know that these are record levels or anything like that, but they are definitely above our target. They are running higher than they have been in previous years. They're not, I wouldn't say they're at extraordinary levels, but they're resulting in us gaining share at least based on the industry information that we see out of BIFMA. It suggests that we are gaining market share from these win rates in the Americas.
Steven Ramsey: Lastly for me, on the expected large corporate rebound in the second half, maybe can you give a flavor for how that business looks? Does it reflect kind of the general trend of improvement that you've seen in project business over the past half year to year? Or is the flavor of what those wins could look like? Is it different than what we've seen?
Dave Sylvester: I don't think it is different, what's important to remind you of is project business did grow in the quarter year-over-year. It was continuing business that was down and because of where we are in the recovery from the pandemic, continuing business is a larger share of our order than it typically is. You have heard us talk in the past that you can generally think of a 40/40/20 split between continuing project business and then our marketing programs that are basically programs for customers that don't have agreements with us. And it's not running 40/40/20 because project activity is restarting after being shut off at the bottom of the pandemic. We like the growth rate that we're seeing in project activity. I'm not sure why continuing was off a little bit versus the prior year, but because it is the majority of our orders now, as project is rebuilding, the fact that it was down a little bit influenced the overall trajectory of the large corporate business. But it's also important to note that large corporate is ahead on a year-to-date basis. They grew nicely in Q1 and declined in Q2, and they are ahead for Q1. We've speculated that there could have been -- excuse me, some pull forward business into Q1 from some of our largest customers that were migrating to more recent price lists. They may have pulled some business forward in advance of that, which drove the strength -- could have contributed to the strength in Q1. I don't know that for sure, but we're not concerned about what we're seeing in large corporate right now.
Sara Armbruster: No. And maybe I would just add to that a little color, anecdotally. I mean, I continue to meet with customers even just who I can think of earlier this week, where they are here, they are visiting, they're talking to us, and they have significant projects in the pipeline. So, I think those kinds of conversations and the traffic we see in work life centers and just those, that ongoing interest to make changes is additional color that helps us feel a sense of confidence.
Operator: Your next question comes from line of Reuben Garner from Benchmark. Your line is open.
Reuben Garner: Wondering if you could kind of touch on some of the growth drivers that you're seeing outside of large corporates, just given that that you still grew orders in the Americas despite some of that near term pressure, you mentioned education, any of the others doing particularly well, and kind of what, what do you think is driving that? How much runway do you have to go there?
Dave Sylvester: Well, from the last couple of years that we're investing in these areas, these vertical areas of health, education, small to midsized businesses. We also are attentive to government. There are a lot of nice opportunities in the government segment, and our team is doing a terrific job competing for business in that sector as well. Now, it's not necessarily a big diversification play for us, because we've been there historically, but we are emphasizing it a little bit more recently because of the opportunity and the strength of that sector. Education, I think, has a lot of -- has had a lot of opportunity as schools need to, I would say, modernize from the way that they're built. Sara gave a good example of a school that she recently visited that we won. Healthcare needs to modernize and change as well, and we're participating in that. Maybe I'll just let Sara jump in and share some comments about the diversification areas as well.
Sara Armbruster: Yes. No, I think, Dave, you covered it well, and I would just add that these are markets that we focus on because we do believe there's opportunity in the market for all the reasons, Dave just said. And as Dave also mentioned, we've really focused our investments to say where do we need to build our capabilities, where do we need to continue to push innovation, where do we need to bring new kinds of solutions that are relevant to those clients' needs to the market. So, kind of the mix of what those things we're doing and those investments look like are a bit different for each of those segments depending on what we think is going to allow us to direct growth the fastest, but we continue to be focused on making sure that we're innovating and really being responsive to what we see happen in those markets to be able to win.
Reuben Garner: Great. And then, our survey of the dealers had a nice balance recently in the last couple of months, it's had pretty strong numbers out west, just given how concentrated technology, the technology industry is out there and how kind of depressed that markets been. I was wondering, if you had any color there and any other verticals that jump out to you as being opportunities or potential areas of risk in the coming quarters would be great?
Dave Sylvester: On your survey, Reuben, Mike and I have actually been waiting to see a little bit of a bump from the West Coast. So, it was nice to finally see it. And the reason we are waiting to see it is our internal information as well as intel we get from our dealers on the West Coast is that tech is starting to wake up a bit. I mean, you've seen recent news about Amazon now expecting five days in the office. Other large tech companies have made similar moves. And some of them too have realized that they've reduced their space a little bit too much during the pandemic, especially as they want to move to a higher number of days in the office by their people. So, the activity levels that are shaping up for next year on the West Coast are actually starting to look pretty interesting. In Southern California, we've been pretty busy there for a while. Our dealer and sales team has been competing for a lot of good business, not necessarily all in tech, but across the different vertical markets. So, I'm glad that the dealers are finally starting to acknowledge in your survey that the mid to near term outlook is improving.
Reuben Garner: Last one for me. I'm going to speak one more in. The international segment, obviously, a little bit challenged macro-wise outside of India this quarter, but just a quick overview of what's going on there and kind of your internal progress.
Sara Armbruster: Yes, no, I think that's right. I mean, you're right that the environment in many of those markets is challenged, but it really varies by markets. So, I think, we've continued both across our EMEA business and APAC to try to maintain a really balanced focus on how do we shift -- continue to shift our focus and investments and energy toward places where we see strong opportunity to grow. I was in India, a couple weeks ago and it was just incredible to see the amount of activity and to talk to customers and everything from I'll say local, more local Indian organizations that are doing exciting things to major multinational companies that are continuing to drive investment in India. So, we feel really good about that. But at the same time, we know that the market realities are different. So, we also continue, I think, to be really disciplined about how do we drive efficiency, how do we work on margins, how do we reset things in the business where we have the opportunity to do so to make sure that we are continuing to drive further profit improvements the way that we have year-over-year in this quarter.
Reuben Garner: Thanks for the color guys and good luck through year end.
Operator: Next question comes from the line are Brian Gordon from Water Tower Research. Your line is open.
Brian Gordon: I just wanted to follow up on the success that you guys are having with government education and the healthcare markets. When you look at these, well, first of all, do you think that there's evidence that you guys are gaining share in this area, in these areas? Then secondly, how big a part of the business, do you see this getting over the next several years?
Dave Sylvester: Regarding your question on market share, we don't get data by vertical market across the industry. So, we don't really know. What we presented at our Investor Day, I guess 18 months ago or so, it was in the spring a couple years ago, is we showed what the mix of our Americas business looked like by vertical in 2020, fiscal ‘20, or calendar ’19. What it looked like in the most recent year that we had just completed, and how it could continue to play out if we're successful in executing our strategy of diversification. And what you would note from those charts, Mike can, walk you through them maybe offline, but what you would note from them is it is a pretty meaningful component of our business. Historically, large corporate has been, I think more than 50%, and we are acknowledging that it has, it could potentially be less than 50%, because it may not recover to the same level it was pre pandemic. And therefore, we're investing more aggressively in diversification. And these markets have, as Sara said, nice growth potential. We were making progress through that time period, and we've continued since, but it has the potential to be quite interesting in magnitude of our overall revenue.
Brian Gordon: And is there a similar opportunity that you guys see on the horizon for international?
Dave Sylvester: I think some of the sectors have opportunity. We're investing a little bit more in education both in Asia-Pacific and in Europe as we see opportunities there, healthcare is pretty diversified, and, I would say, more challenging to make a significant progress or to find a scale a way scaled way to go after it, at least to-date. So, we're playing in that space, but not as aggressively as we are in the Americas. And I would say, really in Europe, a big part of our business has historically been small to medium sized businesses or and which is often more dealer led, and we've been fairly successful in that part of the business. Where we're really, I would say, focused in Europe right now is how do we win a larger share of the larger corporate business in that market. We do okay, but as the industry leader, we feel we should be doing better, and that's an area of emphasis that we've been targeting. And recently, the team has had a couple of nice breakthroughs. Their win rates are starting to improve on large opportunities in Europe, and it's starting to show up in some sequential improvement in their pipeline. So, we're pleased with that progress as well.
Brian Gordon: Great. Thank you very much for that additional color.
Dave Sylvester: No problem.
Operator: And there are no further questions at this time. Ms. Armbruster, I turn the call back over to you.
Sara Armbruster: So, thank you all for joining today. We appreciate your interest in Steelcase and hope you have a great day.
Operator: This concludes today's conference call. You may now disconnect.